Operator: Good afternoon. My name is Carrie, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Live Nation Entertainment Second Quarter 2012 Earnings Conference Call. Today's conference is being recorded. [Operator Instructions] 
 Before we begin, Live Nation has asked me to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ, including statements relating to the company's anticipated financial performance, business prospects, new developments and similar matters. Please refer to Live Nation's SEC filings, including the risk factors and cautionary statements included in the company's most recent filings on Forms 10-K, 10-Q and 8-K for a description of risks and uncertainties that could impact the actual results. Live Nation will also refer to some non-GAAP measures on this call. In accordance with SEC Regulation G, Live Nation has provided a full reconciliation for the most comparable GAAP measures in the earnings release. The release, reconciliations and other financial or statistical information to be discussed on this call can be found on www.livenation.com/investors. 
 It is now my pleasure to turn the call over to Mr. Irving Azoff, Live Nation Entertainment's Chairman of the Board. 
Irving Azoff: We welcome everyone to our Second Quarter 2012 Earnings Call. Joining me today are Michael Rapino, our CEO and Kathy Willard, our CFO. I will begin the call with some brief comments and then turn it over to Michael, who will review our results for the quarter in more detail. 
 We continue to deliver improved results without much help from the macro economy, and are making significant progress towards achieving the goals set following the merger. Adjusted operating income for the quarter increased by 5% over last year on essentially flat revenues, led by strong results from our concert division. In addition to my broader role at Live Nation Entertainment, I continue to lead Artist Nation, including Front Line Management. Touring activity by our key artists during the second quarter was slower than last year, but did include Van Halen, Jimmy Buffet and Jason Aldean. Summer tours commenced late June, July include: Kenny Chesney, Neil Diamond, Big Time Rush and The Fray. Summer touring for many of our artists currently looks good. This is currently expected to be lower than 2011, however. Christina Aguilera and Adam Levine continue with their success as judges on The Voice, and Mariah Carey has signed on as a judge on American Idol. We continue our program of aggressive new artist signings and securing merchandise and VIP ticketing rights with established stars in the new tween band, One Direction, which is performing exceptionally well. Full 2013 touring schedules for key acts are firming up and are currently expected to include the Eagles and Fleetwood Mac. 
 So thank you again for your support, and I look forward to updating you on the progress during our next earnings call. I'd like now to turn it over to Michael for his remarks. 
Michael Rapino: Good afternoon, and welcome to our conference call. This quarter, we continue to deliver positive results across revenue, AOI and free cash flow. Revenue increased 2% on a constant currency basis. AOI grew 5% and free cash flew -- flow grew 27%. Our core businesses have remained strong, not only in North America, but also internationally. Ticket sales grew this quarter 6% in both Ticketmaster and Live Nation and for the full 6 months, Ticketmaster sales grew 6% and Live Nation, up 5%. These strong sales validate the strength of the live event, which remains a high priority for discretionary spending with our fans. I have heard varying comments from the impact of the economy from other companies over the past few weeks. For us, the only markets with any noticeable impact was Spain and Italy. Both these markets together made up only 3% of our overall concert division sales and overall concert attendance between the 2 markets are expected to be flat for the year. On the ticketing side, Spain accounts for about 8% of sales and here again, we expect the business to be roughly flat for the year. 
 As we continue to improve operating profitability across the core, we are investing in 3 key areas: Ticketmaster re-platform project, which continues on schedule and on budget; mobile expansion and continued concert portfolio expansion, which drives all contents to all divisions. With greater visibility now for the full year, we expect to deliver growth across revenue, AOI and free cash flow for the full year. As we look at the divisions, Live Nation concerts had a great second quarter. We now see strong growth in both attendance and profitability for the season. For the quarter, AOI grew 83%. Total attendance for the quarter grew 6%, which compares to 5% for concerts as an overall category of Ticketmaster, indicating that we are continuing to build share. North American concert attendance for the quarter grew 5% and international was up 9%. Average attendance per show grew 7% during the second quarter, demonstrating potential upside as we continue to execute on maximizing the core and driving incremental sales. 
 Our improvements this year in AOI have been driven by our festival and amp business, the 2 highest margin channels in our portfolio. Starting with festivals, in the second quarter, we held 21 festivals across Europe and North America, with total attendance of 1.1 million fans, an increase of 53% over last year. North America, we continued building our festival base, adding River's Edge in St. Paul, I love San Francisco, Watershed at The Gorge, Hard Summer in L.A. and Made in America in Philadelphia. We currently expect festival tickets in North America to more than double compared to last year. In Europe, we launched Bluesfest in London, Rock Im Park in Poland, metal fest in Italy, IMPACT in Poland and Stockholm Music & Arts in Sweden. Across the entire global festival portfolio this year, we plan on producing 57 festivals, with expected ticket sales growth of over 25% compared to last year. 
 Turning to amphitheaters, attendance was up 53% while delivering 8% increase in attendance per show in the second quarter compared to last year. Our business has benefited from 3 initiatives we focused on this year. One, a greater variety of acts geared towards the next generation of amphitheater attendees, specifically teenagers; second, improvement in the overall amp experience with changes in higher quality food and value-priced beer; and finally, deploying dynamic and platinum pricing to capture more of the value of our shows. In the second quarter, we had over 60 shows through dynamic pricing and over 100 platinum ticket packages and, combined, we are seeing an 8% to 10% increase in contribution margin on these shows. Electronic music has been the priority for us of this year. It represents a big growth opportunity to drive incremental attendance to our portfolio. Our EDM attendance has nearly tripled to 160,000 in the second quarter and for the 6 months total was 260,000. So far through July, including festivals, we have produced 124 electronic events around the world compared to 52 at this point last year. Across all the electronic activity, I expect a 24% increase in 2012.
 The number one priority in concerts is ensuring we have a strong and diverse lineup of acts and our second priority is to drive incremental ticket sales. Mobile is a natural channel to sell transfer share and further engage with fans and drive higher conversion. We continue to expand our mobile presence with the launch of our Android app and the introduction of our summer mobile promotion. Through July, we have sold 1 million mobile concert tickets through our apps in the mobile version of livenation.com, a 300% increase from last year. Looking at these accomplishments individually and in total, I'm very pleased with the progress we have made in the concerts division and expect another year of growth. 
 For Ticketmaster, we continue to grow ticket sales this quarter, while investing in technology for the future. For the quarter, revenue grew 2% and AOI was down 5%. AOI was down on a year-on-year basis due to investments in technology and the fact that last second quarter, we had the exceptional one-time London Olympics on sales as a comparable. Our 2012 focus continues to grow ticket sales in primary and secondary, while investing in our platform to achieve further operating efficiencies, while providing a modern platform to unlock growth opportunities that our scale provides. 
 In the second quarter, we made great progress on each of these areas. Global ticket sales for the first 6 months were up 6%, while North America up 4% and international up 9%. We again achieved a net retention rate of over 100% globally with our venue clients in the quarter and expect us to maintain this for the full year. In addition, our secondary business has delivered 15% growth in ticket sales through July, driven by rapid adoption of ticket authentication and delivery, which allows us to ensure the fan purchases a valid ticket. We have seen a 44% increase in conversion for the 6 months through June for venues that have activated AVD. We also continue to see strong growth with our existing content partners. We doubled sales with the LA Lakers, MSG and the NFL Exchange over last year. This growth is primarily the result of increased conversion driven by AVD. 
 We are on plan with our Ticketmaster platform project. This quarter, we began the first phase of rolling out new business-to-business products. We've launched a new business software that reduces training for box office personnel from days to hours and it's already use in over 300 clients, or about 15% of our client base. We also deployed an event management product that enable the venues to set up their own events. As of June, in North America, more than 80% of ticket clients are using this tool, reducing demand on customer service group and improving customer satisfaction. These tools represent the first pieces of the re-platform that will enhance our products for venue clients and significantly reduce cost per ticket. Like Live Nation, Ticketmaster will continue to extend its business into mobile. So far this year in mobile, we have launched 2 iPhone and 2 Android apps for Ticketmaster. Of these new releases, 3 were in the U.S. and Canada and 1 in the U.K. We have nearly 3.5 million downloads globally of our apps through July and we expect this number to reach more than 5 million by the end of the year. 
 Mobile has been our fastest-growing channel with global ticket sales to July of 3 million, a 300% increase over last year. Looking forward, mobile will continue to be a key focus this year. We expect to roll out 7 more apps, including Android, apps in Ireland, Australia and New Zealand and Android in the U.K. We plan to roll out an upgraded mobile site for the U.K. at the end of August and to increase mobile features for fans such as ticket bar codes to be used in a mobile device for venue entry. Looking at the ticket business in total, it remains on track to deliver slight growth in overall ticket sales for the year, with great upside as we unlock future opportunities across our 200 million fan base with technology improvements.
 Turning to Sponsorship. For the quarter, revenue and AOI in our Sponsorship & Advertising divisions were both flat on a constant currency basis and down 3% in actuals. Through the year, I still expect us to deliver double digit AOI growth on a constant currency basis. In North America, we had 2 important new sponsors during the quarter, Samsung Mobile U.S.A. celebrated by rewarding its fans a surprise concert that was streamed on Facebook. The event generated over 487 million impressions. And Live Nation is engaged with Kelloggs to drive their teen summer program, Crazy Good Summer. Internationally, festivals continue to drive new sponsors to our portfolio. Intel recently signed up and is utilizing an integrated campaign with our festivals and HP hosted acoustic sets at our Wireless Festival in London. 
 Our online advertising business continues to grow. For the 6 months through June, online advertising revenue is up 8%. In North America, we have added a number of new national advertisers to our livenation.com and ticketmaster.com advertising portfolio, including MetLife, Pizza Hut, Toyota Prius, Supercuts and MetroPCS and internationally, we have brought ad sales online for 11 additional countries so far this year. My confidence in achieving full year AOI growth comes from a few sources. Number one, in July, we have booked 7% more committed sponsors than we had last time this year and second, we have additional inventory planned for the back half of the year. We're expanding our ad units on-site with upgraded videos screens, branded viewing decks and tech lounges. We're leveraging our growing portfolio, mobile apps, to increase our mobile advertising sales, and we're deploying a rich media content units at livenation.com, which we think will drive higher CPMs and increase online sales. 
 In summary, our second quarter was very successful and demonstrates the continued progress we have made in each of our businesses over the past year. For the full year, I currently believe we will deliver the growth and revenue AOI and cash flow that we have planned, and from that, I will continue to see a strong run rate to build on future growth. Kathy, I will turn it over to you now. 
Elizabeth Willard: Thanks, Michael, and good afternoon everyone. For the first 6 months, we have delivered growth in revenue, AOI, operating income and free cash flow and we are pleased with these results for the first half of 2012. Concert ticket sales are up, driving a strong increase in deferred revenue. Our business is solid, enabling the company to deliver on our key operating metrics, while continuing to make necessary investments to drive our future growth. 
 For the second quarter, revenue was $1.55 billion, essentially flat compared to 2011. However, after adjusting for the impact of changes in foreign exchange rates in the quarter, revenue actually increased by 2%. On a reported basis, our concert segment revenue was also essentially flat. Global concert's attendance was up 6%, driven by higher show count at our amphitheaters. The concerts revenue was also negatively impacted by foreign currency changes and the timing of global tours in the quarter. Ticketing revenue was up 2% due to strength in global ticket sales, which grew 6%, fueled by concerts and sporting events. Artist Nation revenue was down 8% from lower merchandise sales, while Sponsorship & Advertising is in line with last year. 
 Adjusted operating income increased 5% for the second quarter to $146 million compared to last year's $139 million. The concerts division delivered this growth, up year-over-year by 83% due to more shares and higher attendance in our amphitheaters and strong global festival result, even as we continue to invest in building our portfolio, both organically and via acquisition. Ticketing AOI decreased 5% or $4 million, as our profitability was impacted by our continued investment in the ticketing platform, along with the higher sales of the Olympics tickets in 2011. Sponsorship & Advertising AOI was down $1 million, largely as a result of the timing of Europe festivals with related sponsorships. Our operating income for the quarter was $43 million, down from $52 million in the prior year, driven by higher amortization expense in our concert business. And our net income for the quarter was $8 million compared to $13 million in 2011, with the decrease coming from our lower operating income. 
 For the first 6 months of 2012, revenues were $2.4 billion, up $10 million over 2011 and on a constant currency basis, revenues increased 3%. Concerts revenue increased 2% on constant currency basis without the negative currency impact of $39 million. On a reported basis, concerts revenue was essentially flat to last year in the first half. As Michael noted, our amphitheater season is off to a strong start with increased attendance in higher average attendance per show. Our ancillary net revenue per attendee in the amps is currently down slightly by 3% as compared to last year. During the second quarter, we had several tours that attracts younger audience, which typically have lower spend per head. We currently expect that for the full year, our spend per head will be in line with last year. Ticketing revenue for the 6 months increased 2%, driven by higher ticket volumes in the U.S. and in Europe. Sponsorship & Advertising grew by 1% driven by higher online advertising, and Artist Nation was down by $2 million or 1%, due to lower merchandise sales. As noted, we experienced a 3% negative impact of revenue in the first 6 months from currency headwinds. Based on current forward rates, we expect similar negative impact for the second half of 2012. Adjusted operating income for the 6 months grew 6% to $194 million compared to $184 million in 2011. This growth comes from the overall improvements in concerts, which delivered an increase of $33 million in AOI, driven by growth in the amphitheaters and strong festival activity. 
 Ticketing AOI is down 10%. Their improved sales and operating performance was offset by the investments in technology we're making, as well as the impact of the higher ticket sales for the Olympics in 2011. Sponsorship & Advertising is up 2% driven by higher online sales in North American festival sponsorship. The overall increase in selling, general and administrative expenses of $9 million for the first half of 2012 is driven by higher cost in ticketing for the replatforming project. For the full year, we currently continue to expect that ticketing overall fixed cost will be up approximately $10 million for the full year. Corporate costs are higher by $5 million, driven by increased corporate-related non-cash comp expense, as well as legal cost on the live concert antitrust litigation, which we have now successfully concluded after 10 years with no material impact to our financials. 
 For the 6 months, we had operating income of $165,000 compared to a loss of $20 million last year. This improvement comes from our higher AOI and a reduction of $24 million in stock-based compensation from the frontline buyout in 2011, partially offset by a slight increase in amortization expense this year. Our net loss for the 6 months was $61 million compared to a loss of $35 million in 2011, with the decrease driven by tax benefit realized in '11 at $40 million related to the Front Line buyout. 
 For the quarter, free cash flow was $100 million compared to $78 million last year and for the 6 months was $123 million versus $71 million last year. This increase was driven by our higher AOI and lower cash taxes due to tax refunds received in 2012. As of June 30, we had total cash of $1 billion, which included $393 million in ticketing client cash and $314 million in concert event related cash. Our free cash, or available cash, was $213 million. For the 6 months, we had generated $310 million in cash flow from operations compared to $133 million in the prior year for the same period. The main difference between cash flow from operations and free cash flow are working capital changes, which were a $191 million source of cash in the first half of 2012, driven by an increase in event-related deferred revenue, less prepaid show cost, as a result of a higher ticket sales in our concert segment. We also had higher receivable collections from tax receivables and timing of other items. Our working capital requirements are driven primarily by the timing of tickets sales for future events and payments to artists and venues. We don't recognize revenue and cost for events until the show occurs. 
 Total deferred revenue was $830 million as of June 30, 2012, compared to $641 million in June 2011, an increase of almost $200 million. This increase was driven by higher Live Nation concert ticket sales in 2012, regardless of the event date that we have seen through July, which are currently up 15%. Through July, on the Ticketmaster site, we've seen total ticket sales, regardless of event date, increase by 5%, with North America up 4% and international up 9%. We currently continue to expect that our total capital expenditures for 2012 will be approximately $125 million. For the first 6 months, we have spent $59 million. The increase over last year's $45 million was driven by the cost for the redesign of the Ticketmaster technology platform, along with other technology and the new equipment cost. 
 As of June 30, our total current and long-term debt, including capital leases, was $1.74 billion with no outstanding draws on our revolver. We made $7 million in net debt repayments in the quarter. Our weighted average cost of debt, excluding debt discounts and premiums, is 6%. We continue to remain comfortable in compliance with our debt covenant requirements under our credit facility. As of June 30, our total debt-to-EBITDA ratio was under 4x versus the maximum 4.5x, and our interest coverage ratio was over 4.4x versus the minimum ratio of 2.75.
 Our business is solid and we remain confident in our ability to execute on our growth expectations for the year. Our key expectations for the full year 2012 are to continue to build and grow our concert portfolio. We currently expect this business to deliver a high single digit increase in attendance and solid growth in AOI. We continue growing our Sponsorship & Advertising network, and we expect this segment to maintain its momentum and deliver low double digit AOI growth in 2012 on a constant currency basis, and we will continue to invest in our Ticketmaster business. We expect overall ticket sales to be slightly up in 2012, but this will be substantially offset by our investments in the Ticketmaster technology re-platforming and mobile and social product. We thank you for joining us today for our second quarter 2012 update, and we will now open up the call for questions. Operator? 
Operator: [Operator Instructions] And we will take our first question from David Joyce with ISI Group. 
David Joyce: Appreciate that the second quarter concerts AOI was up based on the incremental festivals, but I was wondering if you could quantify any of the benefits you've had from the dynamic pricing that you've started rolling out? 
Michael Rapino: Well, as I said, David, on my script here, without getting precise because of competitive reasons, you can appreciate, as I said, that the key is the adoption rate. So I think, last year, I spoke about build the tool that we could get adopted throughout the business. We think we have a great simple dynamic pricing product now that agents and managers in the industry can use. We've got -- we spent the year selling it in over 100 artists participating or shows, if you want to call it, against either dynamic pricing or a platinum scaling. Either version is about secure some of the high revenue that ends up on the scalpers column and put it into the P&L of the artist and the promoter. So as I've alluded to here, we've got -- when activated and an artist or a show is using the dynamic pricing tool and/or platinum, increasing some of the scaling or thinking about a few different ways to scale the house, based on from factual input, we're getting an 8% to 10% increase in that show's contribution. So early success the first year we've started to roll it out, and as I promised, the Street was about getting some adoption, learned some lessons and get some successes built, and we're very happy right now that we have close to 100 participating, and our goal by the end of the year is if you got 100 artists and agents and managers participating and all having an increased revenue output for that show, that will be a great way to pave the future to higher adoption. 
David Joyce: And if I may, on another front, some of your peers and competitors seem to have some potential to stream concerts on cable networks, such as AAG and Access TV, Madison Square Garden, like are you able to do that with Fuse for example? Do you have right -- do you participate in rights for the streaming with your artists or with your promotions or do you foresee anything more tangible that you might do with the cable network partnership? 
Michael Rapino: Well, in general, the ownership of that live show is owned somewhere between that artist and the record label. The rights to stream a show are a lot easier to obtain than obviously the rights to download and buy a show. So we do somewhere around 300 to 400 shows a year where we would be filming them, recording them or steaming them, whether they're for sponsors, whether they're at livenation.com or whether they are at -- we stream the entire iTunes Music Festival in partnership with some at iTunes. So we have a Live Nation studio division that's been at it for a while. We have found the easiest way to monetize that live show to date has been to build a division that can service sponsors. So most sponsors have websites and Facebook pages and desire for live streams and content. So we've been delivering direct to sponsors as a way to build our sponsorship base to date, but we have definitely been stepping up this year and you will see us more aggressive in the fall at livenation.com, as we launch that website coming into the fall into a much more interactive website that we'll definitely have a higher level of live streams shows and live concert interaction. We would think that the best model for us is to build our current online business as the main vehicle supported by our sponsorship strategy then start to venture into the cable right now. 
Operator: And we'll take your next question from Doug Arthur with Evercore. 
Douglas Arthur: Yes 2 questions, kind of back to concert margins for a second. I mean this is the fourth quarter in a row where revenues have exceeded costs, i.e., costs have gone down at a pretty good clip. So is it -- do you feel you've reached sort of an inflection point in terms of all the initiatives, dynamic pricing, better scheduling in this division and can that sustain itself in a big seasonal third quarter? And then secondly, on the Sponsorship & Advertising, I mean, is this timing going to be sort of a fact of life in this division, where you have some big quarters and some flat quarters because it seems like as the -- you gain more critical mass, there's just been more kind of not randomness, but kind of the quarterly numbers have jumped around a lot. 
Michael Rapino: Well, I'll take a stab at a bit of that. I'll start from the back forward. I mean, as you know, other than the natural reality of quarters for Wall Street, we play for the year. It tends to be in the world of concert touring, it's a January December kind of season. So obviously, in our business, the second and third quarter mean in the summers both internationally and festivals. Amphitheaters tend to be the highest -- obviously, the highest activity globally for the artist. So somewhere between the second and third quarter, depending on what day that cuts off and what shows we're having, you can have a swing. So definitely, there are chances that sometimes, the Madonna tours in the second quarter in 1 year, U2s in the third quarter, so you have some swing. Generally, why you continually hear us talk about full year is we're less worried about whether the show happens in June or July and more worried about during the year. In totality, do we have the line-up and the show count to deliver the growth, so definitely, a business where you have continual movement between Q2 and Q3. In the odd time, you get a big Q1 Roger Waters world tour that launches in the wintertime that can take your numbers on a year-over-year basis, but totality, over the year is what we play for to kind of smooth out the reality when certain things happen. Concert division, you're right. We were very proud that we, over the last couple of years, are running the business a lot better than we had previously. We've got a great team both in international and in North America. We're buying better, but a lot of the focus has been on the execution. When you have 25,000 shows a year, if you can upgrade that marketing capability and start to claw into that little fact that we live with here that 40% of consumers didn't know about the show or they would have went, and 60% of your shows aren't sold-out. So if every of those 25,000 shows, we sold 10 more tickets to every one of those shows, that's a nice drop to the bottom line. So why you hear us talk about mobile and social and engagement is we do believe that the social platform and the mobile platforms, it is made for the concert business in terms of people want to buy a ticket online on their mobile phone, and they want to share all of their fun activity around the concert in a social environment, and the more people that spread and post to Facebook and tell their friends, incremental sales are coming to life. So we think we've got great run rate to drive that number. I talked about attendance per show up. That's the foundation to driving our bottom line. We'll probably always have somewhere in the 25,000-plus shows. We'll grow those if we grow some markets, but the upside in our bottom line will continually be if we can continue to build strong marketing department that can sell incremental tickets to those 25,000 shows, and that's been the focus for 18 months and definitely coming to life this year, and we think we've got great runway ahead of us to -- even if you took 40% of consumers who didn't know about a show to 35%, that 5% that hit our bottom line, would change the dynamics of our business, and we think mobile and social are incredible tools to help drive that. 
Douglas Arthur: That's great and Kathy, just a quick follow-up on the concert division, was there -- can you explain the one-time item in D&A in the concert division? 
Elizabeth Willard: There was impairment of about $14 million in the quarter related to some of the intangibles, but timing wise, it's really a timing issue because it's coming off one way or the other. The impact for the full year is going to be about $9 million. 
Operator: And we'll take your next question from Martin Pyykkonen. 
Martin Pyykkonen: A couple of questions on the AOI margin for the concert segment kind of going forward into onto next year, is there a sort of normalized or peak level that you can obtain relative to cost and the dynamic pricing initiatives you've had? And then a clarification, Kathy said something about 3 points of FX impact, was that specific to the concerts segment or was that overall? And if it was overall, do you have that broken out for concert revenues, specifically? 
Elizabeth Willard: Yes, I'll answer that, the second question first. The FX impact, the 3%, for the full company. We do -- the concert piece of it alone was about 2%. So it is obviously the biggest piece of our revenue and does drive all sorts of things. 
Michael Rapino: And as far as the margin, we wouldn't give you a guidance on that, but I think the tone is the important part. We believe, obviously, with our scale and concerts and ticketing and our kind of leadership market position, overall, our #1 goal is obviously to drive higher free cash flow from the existing business and ultimately delever our balance sheet over time as we build that stockpile. The way we're going to get there is less about more revenue and definitely about driving higher margins from our existing business. So without giving you the guidance on the numbers, yes, the thematic here is how do we drive higher margins from those existing 200 million-plus consumers that are transacting with our core business, and obviously then that drives down to the cash flow bottom line. So we think there's opportunity to increase the margin. Now it's tough because of the revenue mix in our business when you drive big revenue tours like Madonna and you're driving $5 billion or $6 billion in that revenue mix. Mathematically, it's tough to make a substantial difference in the bottom line margin. But generally, the thematic on how we're going to execute here has been over last year and continues to drive higher margin from existing business. 
Martin Pyykkonen: Okay. And then just one quick follow-up on the fall winter, deep fall winter, as you said, it's a full year, the way you look at it, that's obviously the less seasonal part. Qualitatively, at this point in terms of those that are touring that you know the number of shows kind of planned, just what's the general outlook for year-over-year that's coming fall winter versus the previous? 
Michael Rapino: You're right, we would, at this point in the year, we know 2 things that matter. We know how strong Q3 is going to close generally, because, obviously, all those shows are all well booked and on sale, and now it's just a matter of how they close. So that would be the biggest determination to how the overall year will play out. And then after that is what does your show count look like from both the ticketing and a concert perspective for Q4? Now Q4 is always light, so you're never going to make a substantial change in Q4. You're not going to gain a lot of bottom line in Q4. You just don't want to give a lot -- you don't want to give away a lot. And at this point, I would say that Q3 is looking very strong and Q4 is looking on par with history. So I don't think we'll be giving away much in Q4. It should be flat year-over-year as we look at the rest of the lineup. So we believe that's kind of the basics on how we could sit here today and call the year in terms of we believe it's a strong revenue AOI and cash flow growth year-over-year. If we close everything in Q3 like we hoped and all the PVDs come to life in Q4, those too look on course, right now, to deliver our growth. 
Operator: And we'll take your next question from Ben Mogil with Stifel, Nicolaus. 
Benjamin Mogil: Kathy or Michael, I don't know if you -- I don't think you did this call in the past. You kind of given a sort of a current quarter update on ticketing trends. Can you give us anything along those lines? 
Elizabeth Willard: Yes, Ben, we did say that so kind of this is when we're looking at ticket sales during the year, regardless of the event date. And through July, concert is currently at 15% over last year and Ticketmaster is at 5%, with North America up 4% and international up 9%. 
Benjamin Mogil: And that's -- and so that's just the entire year-to-date. That's not a -- that's not just the current quarter, correct? 
Elizabeth Willard: Right, but that basically shows you -- I mean, that's in line with what we were showing as Ticketmaster tickets for the 6 months and gives you a different view on concerts, but shows you why the deferred revenue is so strong. 
Benjamin Mogil: Okay. And then I think just going back to your comments before on cost on the sponsorship numbers that you look to be, think you'll you'd be sort of up low double digit EBITDA on constant currency, which I guess would kind of be a mid to high single digit on U.S. dollars. Any thoughts about hedging that going forward or is it just not worth it from where you guys sit -- hedging the currency exposure on that? 
Elizabeth Willard: Again, we continued our process of hedging the artist contracts in foreign countries where we're paying in a different currency than ticket sales, and we continue to evaluate the other, but no real claims right now. 
Benjamin Mogil: And lastly, on the CTS arbitration, I saw in the Q that you noted that you expect something in the fall. It's obviously beyond your control. Has the arbitrator gone back to either party for more information or has it really been no change in an update since almost, I guess, the beginning of the year? 
Michael Rapino: No change. No information, just a delay on the arbitrator side to deliver the judgment. So we're now waiting for a fall due date, is the latest, but still feel confident. No changes in our perspective on our defense. 
Operator: And we'll take your next question from Rich Tullo with Albert Fried & Company. 
Richard Tullo: Did you say that ticket sales, mobile ticket sales, were 1 million for concerts and about 3 million for Ticketmaster, is that correct? 
Michael Rapino: Yes. 
Richard Tullo: And is there a demographic difference from your typical customer from the customer that's acquiring a ticket on mobile? 
Michael Rapino: Yes, in general, we ran a bunch of research around this, but if you simplified it, as you would expect, they are younger, younger and more active buyers. So the first to convert are going to be the obviously high user and younger demo. 
Richard Tullo: And in terms of streaming, does it make sense for Ticketmaster to link up with one of the Internet radio services such Pandoras, Spotify or iHeart, to do sponsorship channels on the air platform? 
Michael Rapino: What we're talking and always evaluating all our options with partners. Remember, let's just call the competitor set we have, nobody has what we have, meaning, the platform and the presence of ticketmaster.com and livenation.com. So our first priority in the way that we monetize 100% of the advertising dollar is to deliver that business to our sponsor in our own platform. And the larger our platform and the higher our traffic at our platform, the more tickets we sell and the higher our sponsorship is. So to date, we believe we will continue to kind of feed our tm and livenation.com businesses, and that's the way we can keep delivering that double-digit sponsorship online advertising growth versus kind of producing and delivering to someone else's advertising platform. 
Richard Tullo: Okay. And one last question in regards to, I guess, concert disruption. The London Olympics going on right now, is that going to be somewhat disruptive in the third quarter? Can we see some shifting of revenues from the third quarter to the fourth quarter? 
Michael Rapino: Not in general. I mean, we -- everybody, obviously, it's a big business over in Europe in general, so it's only really affected in London proper. So there wouldn't be a lot of shows planned over those 2 weeks if you're an artist. But in general, the European concert season or the festival season, which kind of drives the London business, just naturally, it happens to be a May, June and end of August business. So not a big change in these 2 weeks during the Olympics that has changed any of the historic business in London. 
Richard Tullo: One last question, do relative costs to promote a electronics dance music, concert or festival relative to more traditional type of festival, is the -- are the margins on those kind of events a little fatter for you? 
Michael Rapino: Well, I mean, festivals, in general, are one of the highest margin businesses we have. So we like the festival business period, and electronic festival versus a good pop or rock 'n roll festival would be on par to possibly a few points higher on margin. 
Operator: [Operator Instructions] And we'll take our next question from John Tinker with Financial Services. 
John Tinker: Actually it's Maxim. This is a follow-up to the festival's higher profitably. I noticed the British company called Music Festivals, which had issued a profit warning a few days ago and it's looking to raise capital. Is that company specific or you think there could be a turn in the festivals business as people start to overbid to get the talent? 
Michael Rapino: Yes, that company you're referring to has been down that path a couple of times. So if you're in the business of owning one festival in the U.K, you're fairly exposed on that one event. Then you have a portfolio of 57 -- it's a portfolio that really kind of hedges the risk. So every year, out of 57, you always have 2 or 3 that just don't hit it, maybe weather is bad, maybe you don't have a perfect lineup, and you have 2 or 3 that hit it out of the park. In totality, as you can see by our numbers, we're growing 25% ticket sales year-over-year. So I think, definitely, the festival business is high-margin. Obviously, there's a lot of festivals continuing to evolve, but the leadership position that we have is the competitive advantage that lets us, obviously, buy in bulk, deliver sponsorship in bulk, ticketing in bulk, marketing in bulk. So it wouldn't be a business that you'd want to start today in one by one, but we believe that given we've been in this business for 10 years-plus and are a market leader, it lets us build it efficiently with a good tolerance to the risk that comes with them. 
John Tinker: And just another quick question. What's your view on paperless tickets in terms of the way to attack the secondary market and stop scalpers reselling? 
Michael Rapino: In general, our -- how sensible is this, we believe that our job is to protect the first sale and what I mean by that is I'd like to tell you that every artist is going to charge exactly what the market will bear, but that's not reality. There are some artists that just want to charge $99, regardless of how expensive that first row could go for. Our job is to figure out how to make that first sale secure. If Bruce Springsteen absolutely wants to charge $99 in Detroit, our job is to figure out all of the ways we can deliver that $99 ticket to a real fan who has a shot to buy it. Now what that fan does with it after, if they want to resell it on the secondary market, we're -- we have no problems with that, we'll support that. But anyway, we can help deliver that $99 to a true fan for the first sale is what we believe is we're in business to do and make that consumer feel like they have a shot of getting it. Now paperless is one tool you can use, which we've done many times. If you use paperless, it gives you a shot to deliver kind of a deterrent to the scalping system and deliver that to that first fan. I think, in general, mobile is going to be an incredible tool to deliver a digital ticket to an exact person, who then can walk in to that venue and scan it at the door. So whether it's paperless or whether it's mobile, we're continuing to look at new technology to deliver a direct sale to that first fan, and we think mobile is probably going to be the most exciting opportunity for us to deliver that digital ticket to that fan. 
Operator: And ladies and gentlemen, that concludes our question-and-answer session for today. I will now turn the call back over to Mr. Rapino for closing remarks. 
Michael Rapino: Thank you, everybody, and have a great summer and we'll talk on Q3. 
Operator: Ladies and gentlemen, this includes the Live Nation Entertainment Second Quarter 2012 Earnings Conference Call.